Operator: Good morning, ladies and gentlemen, and welcome to the SiriusPoint Limited Second Quarter 2022 Earnings Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the call over to Ms. Clare Kerrigan, Head of Investor Relations for SiriusPoint. Please go ahead.
Clare Kerrigan: Thank you, operator. Welcome to the SiriusPoint Limited earnings call for the second quarter of 2022. Last night, we issued our earnings press release and financial supplement, which are available on our website, www.siriuspt.com. With me here today are Dan Malloy, our Interim Chief Executive Officer; and David Junius, our Financial Officer. Before we begin, I would like to remind you that many of the remarks today will contain forward-looking statements based on current expectations. Actual results may differ materially from those projected as a result of certain risks and uncertainties. Please refer to the earnings press release and the company's other public filings, including the Form 10-K for the period ended December 31, 2021 and Form 10-Q for the period ended June 30, 2022, where you will find risk factors that could cause actual results to differ materially from these forward-looking statements. In addition, management will refer to certain non-GAAP financial measures, which management believes allow for a more complete understanding of the company's financial results. A reconciliation of these non-GAAP measures to the most comparable GAAP measure is presented in the company's earnings press release that is available on our website. At this time, I will turn the call over to Dan.
Daniel Malloy: Thank you, Clare, and good morning, everybody. I'm very pleased to be speaking with you this morning given the opportunity that lies ahead for SiriusPoint, our employees and our shareholders. And many of you know, I've spent the last 10 years at SiriusPoint and our predecessor company, Third Point Re, where I was CEO prior to the merger. As President, Global Distribution, following the launch of SiriusPoint, it was my pleasure to help establish the new company and support our strategy with my colleagues on the executive leadership team. I am now very pleased to rejoin SiriusPoint as Interim CEO. I was asked to do so by our Board of Directors, given my experience and history with the company and my familiarity with our team, our strategy and goals, and the value we bring to our insurance and reinsurance partners. Our Board is focused on appointing a permanent CEO to continue the transformation of our company. They are committed to completing this within the shortest possible timeframe, while taking the necessary time to ensure this is a thorough and thoughtful process. In the meantime, I'm working closely with my colleagues and the Board of Directors to build on the progress that has been made since SiriusPoint's founding in February of 2021. My role is to provide stability and oversight to allow our global talent to continue their work as we refine our strategy and operational priorities and to continue building a high-performing business. This morning, I'd like to outline our progress for you and share some detail on SiriusPoint's areas of strategic focus for the business. I'll go on to cover our second quarter and half year results, including how we see some of the wider market and global economic issues impacting our business, before I hand over to David to discuss those numbers in greater detail. Over the last 16 months, we have been reunderwriting our property, casualty and specialty reinsurance portfolios, derisking our investment portfolio and building our Insurance and Services segment, which is our growing managing general agent, or MGA platform, and investments in insurance services companies. These 3 areas continue to be the core of our strategy with the disciplined and prudent management of our expenses and platform as key operational objectives. As part of our reinsurance strategy to deemphasize property catastrophe, we are concentrating on those areas that complement our Insurance and Services business. This is where we have either a differentiated portfolio based on our market views such as U.S. casualty reinsurance, where we have focused on specialty programs, or unique franchise, such as our Bermuda credit portfolio and Zurich Aviation. Our focus is on improving the segment's profitability, reducing risk and ensuring our operational model is aligned with our overall strategic approach, allowing us to be nimble in our capital allocation and disciplined and data-driven in our risk management. We believe that the combination of a refocused reinsurance business and our growing Insurance & Services segment can together deliver consistent profitable results and positive shareholder returns. We have continued to develop the Insurance and Services segment. Through our partnerships, we are accessing new insurance products, often in underserved markets. We have now established over 30 strategic relationships across our businesses and geographies with recent new partnerships in our U.S. and international businesses including Alta Signa, a European financial and professional lines insurance MGA; Garentii, another European MGA which provides digital home rental insurance; Samos, a Canadian surgical accidental death insurer; and Avinew, an underwriting platform leveraging technology to directly underwrite an appropriate price for semi-autonomous and autonomous motor usage. We are working with truly differentiated partners who pass our due diligence screening for operational underwriting compatibility and offering them a combination of paper, capital and expertise in exchange for, among other potential benefits, distribution opportunities in niche and specialized area of the market. We expect this investment in time capital and expertise, in turn, to create margin. We have a strong competitive position and a robust pipeline of deal activity, and we aim to drive disciplined growth with a focus on partnerships that hold real franchise value for our company. We believe with this partnership approach, the value we bring to partners and the underwriting value created are differentiators for SiriusPoint. We have also made progress in our approach to managing the ongoing volatility in our investment portfolio. We have reduced our exposure to the Third Point Enhanced Fund, a long/short equity strategy, by over $850 million in the last 3 quarters, and allocated the funds toward alpha-seeking credit strategies. And our assets in the Third Point optimized credit portfolio now stands at $415 million as of June 30. We continue to reduce our exposure to legacy Sirius Group alternatives position, and additionally, we have elected available-for-sale accounting on new fixed income position starting in the second quarter which, though neutral to book value compared to a fair market value approach, will reduce headline net income volatility. The combination of these actions has and will continue to reduce the volatility of our investment results. Now turning to our results for this quarter, we continue to see positive momentum. We achieved consolidated underwriting income of $39 million with a combined ratio of 93.1%. We reported a net loss of $61 million in the quarter, primarily driven by investment losses, which I'll return to shortly. Our overall top line has been steadily growing over the past year, with growth of 48% year-over-year. Our second quarter 2022 consolidated gross written premiums were $813 million and earned premium has grown for 5 consecutive quarters since the merger. Our production growth reflects the success of our strategic shift toward insurance to focus on the growth in A&H and MGA partnerships and to improve underwriting profitability. The premium split for the quarter is 53% Insurance to 47% Reinsurance, and I am pleased with the progress we are seeing in the Insurance and Services segment. Segment income was $20 million for the quarter, with significant improvement in underwriting results year-on-year including a strong contribution from SiriusPoint's strategic partnerships. Reinsurance delivered gross written premium of over $378 million and a modest segment loss of $200,000 for the quarter. Both numbers are reflective of the business mix shift away from a volatile historical property book for its casualty business, in line with our strategy which we expect to bring the benefit of stability of our earnings over the longer term. Key natural catastrophe events in the quarter had a modest negative impact on our results, those are the South African floods and Midwest U.S. storms. We are pleased to report no material development during the quarter on the Russia-Ukraine conflict losses. We have had minimal claims notifications, and we believe we have been prudent in our reserving to take into account our view of the ultimate losses in these events. There has not been any development during the quarter to our COVID reserve and estimates, although overall trends are positive. We will continue to monitor and analyze the inflationary environment and its impact on our portfolio in order to maintain adequate reserving and pricing estimates. In light of the impact on the economy of both core and social inflation, the investment environment over the quarter and half year has been volatile. We evaluated the expected impact of the elevated level of current and expected inflation on our pricing and reserving, and took action earlier this year to adjust trend assumptions in our pricing to allow for this elevated level of inflation. We reported net investment losses of $347 million year-to-date, driven by losses from related party investment funds, debt securities mark-to-market from rising interest rates and widening spreads, and FX impact on foreign-denominated assets. Having assets shorter than our liability profile put us in a good position to capitalize on the rising rate environment with a strong and stable balance sheet. While we continue to monitor volatility carefully, we do see a return to a higher interest rate environment as having the potential to improve future investment earnings. To conclude, we have made substantial progress since forming SiriusPoint in February of 2021 and have a clear strategy for executing on the work ahead. In responding to our recent S&P credit watch, the SiriusPoint Board and I are confident our business remains well capitalized, and our balance sheet and prospects remain strong. The Board is actively seeking a permanent CEO. Sirius Point has an impressive executive leadership team and global underwriting expertise, and we are focused on generating returns and book value growth, which accurately reflect the potential of our company and the progress that has been made. We believe that we're well positioned to continue to execute on our strategy, transform our business and deliver profitable growth. Our goal is clear: Continue to drive transformation and operational improvement as we accelerate the momentum across our global operations. I will now hand the call over to David to take us through our second quarter financial results.
David Junius: Thanks, Dan. For the second quarter, we generated a net loss of $61 million or $0.38 per diluted share versus net income of $65 million or $0.37 per diluted share in the same quarter a year ago. Our annualized return on average common equity in the quarter was negative 11.8%. We achieved consolidated underwriting income of $39 million with a combined ratio of 93.1%, reflecting a $5 million or 60 basis points improvement quarter-over-quarter, making it the fifth quarter with an underwriting profit out of the 6 quarters since we launched SiriusPoint. Core income was $20 million for the second quarter of 2022, including underwriting income of $10 million and a combined ratio of 98.3%, which compares to $31 million and a combined ratio of 93.2% in the second quarter of 2021. Our second quarter results included $16 million of catastrophe losses or 2.9 points driven by South African floods. Core income was driven by moderate natural cat activity and some favorable prior year loss development. For the Russia-Ukraine conflict and COVID, a reserving approach of recognizing bad news quickly is holding with no change to our original currency ultimate loss picks, and hence, very limited financial impact in the quarter. We continue to take a cautious approach to the reserving for our growing Insurance and Services segment, holding most ratios at original [ aspects ] despite positive actual versus expected trends as we wait for this book to season. The quarterly results include net favorable prior year development of $2 million. Specifically with respect to inflation, we have evaluated the expected impact of the elevated level of current and expected inflation to our pricing and reserving. We took action earlier this year to adjust trend assumptions in our pricing to allow for this elevated level of inflation. We have concluded that the impact is within our established reserves, given the existing allowances for uncertainty that were already established. This is a dynamic situation with a relatively high degree of uncertainty, and we will continue to monitor and analyze the inflationary environment and its impact on our portfolio in order to maintain adequate pricing and reserving estimates. Core gross premiums written for the second quarter were $812 million compared to $574 million in the same quarter a year ago, which is a growth of $238 million or 42%. The growth year-over-year is driven by our Insurance and Services segment and reflects our business strategy of shifting our business mix from Reinsurance to Insurance to reduce earnings volatility and improve underwriting profitability. Turning to the individual segment builds in more detail, the Insurance and Services segment produced underwriting income in the quarter of $10 million with a combined ratio of 96.1%, while the Reinsurance segment booked even with a combined ratio of 100.1%. Insurance and Services produced income of $20 million, consisting of $11 million net services income and an underwriting profit of $10 million with an associated combined ratio of 96.1%. Net services income primarily benefited from IMG's stronger revenue which outpaced expenses contributing to margin expansion, along with the continued strong performance from Arcadian and Banyan, 2 of our incubated MGAs. Net services income included $57 million of service revenue versus $34 million in the prior year, predominantly from growth in IMG's core travel medical products. Insurance and Services underwriting profit included favorable prior year development across our Accident & Health portfolio, where we continue to benefit from prudent initial loss picks in prior years. Insurance and Services gross premiums written in the segment were $434 million compared to $197 million in the prior year, with both our Accident and Health and Property and Casualty premiums more than doubling year-over-year. We are seeing a positive impact from our investments made over the last 18 months into A&H combined with incubation and partnerships with P&C MGA. Pie and Arcadian were strong contributors to growth year-on-year as well as Corvus, which had strong production following our partnership launch in the fourth quarter of 2021, and where we continue to see demand supply imbalances in the market for cyber insurance. Two MGA partnerships which launched this year, Alta Signa and Mosaic, are gaining traction, contributing meaningful to year-over-year top line growth. Reinsurance results continue to progress, albeit unevenly. The results continue to reflect the improvements of the dramatic reshaping of the portfolio undertaken over the last 18 months, although we continue to have more volatility in property than we want in the long term. Our casualty reinsurance focus remains on niche specialty lines versus our larger commodity accounts. We are seeing a good flow of new business with a positive primary commercial line rating environment, partially offset by rising seating commissions. Core underwriting expenses were $45 million for the second quarter of 2022 or a 7.9% OUE ratio. We continue to invest in our insurance and services business, yet the OUE ratio is slightly below our 5-quarter trend of 8.1% as efficiency gains are keeping track with the investments to improve operational capabilities. Corporate expenses, excluding service expenses, were $27 million in the quarter, inclusive of management turnover related severance expense and professional fees. Excluding these items, corporate expenses were $16 million for the quarter, trending down from previous quarters due to continued expense discipline. The net investment loss for the second quarter was $142 million, driven by our related party investment funds of $61 million and debt securities of $58 million, which includes FX-driven investment losses of $26 million and roughly $8 million of losses in the TPOT portfolio. The loss on the related party investment funds was primarily due to the Third Point Enhanced Fund with a negative return of 12.5% in the quarter. The fund continued to reduce exposures to growth equities, although the valuation of the fund's debt positions were impacted by widening credit spreads and exposure to rates. We further reduced our exposure to TPE in the quarter and our quarter end balance was $289 million, reflecting a $304 million withdrawal at the end of May. As Dan mentioned, this brings total redemptions from TPE to over $850 million over the last three quarters. In the second quarter, we also took action to shift some fair market value accounting to available for sale for new fixed income investments. While this does not have an impact on book value, it will reduce net income volatility and headline risk. As of June 30, the balance of fixed income securities held under [ AFS ] was $716 million, and the accumulated other comprehensive loss on this portfolio was $10 million. Our balance sheet remains strong, ending the quarter with $2.2 billion of shareholders' equity. Total capital, including debt, was $3.0 billion. Issued debt was unchanged in the quarter, except for FX changes in our SEK sub debt, and our debt to total capital ratio was flat at 26%. We benefited $25 million in the quarter from a change in the value of liability classified capital instruments because of the decline of SiriusPoint stock price. Tangible book value per diluted share fell 3.6% in the quarter. Now, let me turn the call back over to Dan for concluding remarks.
Daniel Malloy: Thanks, David. Going into the second half of the year, I'm confident our business, balance sheet and prospects remain strong. I and the executive leadership team are committed to ensuring that we remain focused on transforming our business as we grow insurance and services through MGA and other partnerships, reduce volatility across our Reinsurance and Investment portfolios, and always put underwriting first. I am proud to oversee the progress we have made since inception, and I look forward to advancing our ongoing and successful transformation to hand over to a new CEO in due course. Thank you again for your time this morning, and I'll turn the call back over to the operator.
End of Q&A: Thank you. Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.